Operator: Good day, and welcome to the Silgan Holdings Third Quarter 2023 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Alex Hutter, Vice President of Investor Relations. Please go ahead, Sir.
Alex Hutter: Thank you and good morning. Joining me on the call today are Adam Greenlee, President and CEO; Bob Lewis, EVP, Corporate Development and Administration; and Kim Ulmer, SVP, CFO and Treasurer. Before we begin the call today, we would like to make it clear that certain statements made today on this conference call may be forward-looking statements. These forward-looking statements are made based upon management's expectations and beliefs concerning future events impacting the company and therefore, involve a number of uncertainties and risks, including, but not limited to, those described in the company's annual report on Form 10-K for 2022 and other filings with the Securities and Exchange Commission. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in the forward-looking statements. In addition the commentary on today's call may contain references to certain non-GAAP financial metrics including adjusted EBIT, adjusted EBITDA, free cash flow and adjusted net income per diluted share. A reconciliation of these metrics, which should not be considered substitutes for similar GAAP metrics can be found in today's press release available in the Investor Relations section of our website at silganholdings.com. With that, let me turn it over to Adam.
Adam Greenlee: Thank you, Alex, and we'd like to welcome everyone to Silgan's third quarter 2023 earnings call. The third quarter delivered strong performance that was consistent with our expectations despite continually challenging market conditions, and we reported our second highest quarterly earnings as our businesses manage their cost proactively to offset softer than expected volumes in the quarter. During the quarter, we finalized our previously discussed plans to improve our cost structure and have announced a $50 million cost reduction program through the end of 2025. We expect to achieve these cost reductions through a combination of footprint rationalizations and other cost reduction actions with benefits in each of our reporting segments over the next two years. Additionally, we believe these cost improvements will help position the company to continue to meet the unique needs of our customers and compete and win in the markets we serve. Through our disciplined and balanced capital allocation process, we've repurchased $155 million worth of Silgan stock during the quarter, bringing our year-to-date repurchases to $175 million and putting the company on track to return over $250 million to shareholders through a combination of buybacks and dividends in 2023. Turning to trends in the business. Demand for our high-value dispensing products remained strong with mid single digit growth for these products during the quarter that drove significant mix improvement for the company overall in the Dispensing and Specialty Closures segment. We continue to see recovery in products that experienced post-pandemic destocking last year, and benefited from strong organic growth in our fragrance dispensing products for prestige market. The consumer destocking we saw developed near the end of the second quarter across all three segments expanded during the third quarter, as these plans deepened in the food and beverage markets and grew to include adjacent categories. Importantly, all market indications we have continue to show that consumer level demand for our products remains robust. And our customers' inventory unit levels are trending below historic levels and their focus remains on the absolute dollar value levels of inventory in their systems at year-end. Turning to our third quarter results. Performance in each of our segments was consistent with our expectations, with mid single-digit adjusted EBIT growth driving record results in Dispensing & Specialty Closures, and with Metal Containers adjusted EBIT comparable to the prior year record levels. In Dispensing & Specialty Closures, our high-value dispensing products were a highlight for the quarter with mid single-digit volume growth and a significant mix benefit that more than offset the headwinds we've talked about in food and beverage end markets. Domestic food and beverage volumes were flat year-over-year as customer destocking in the United States had a more pronounced impact on our volume than we anticipated in our guidance. International food and beverage volumes remained challenged as a result of the increased levels of inflation on premium products, in particular, for Metal Closures on glass packages. Despite these headwinds on volume, the growth in Dispensing products, mix benefit and strong cost management drove record performance for this segment in the quarter. In Metal Containers, we again delivered strong results despite softer-than-expected volumes, customer destocking priorities appear to have expanded to include adjacent categories, including pet food, and many customers are targeting further inventory reductions in categories that we were already anticipating these trends. The North American fruit and vegetable pack was delayed to late planting and volumes in Europe were below our expectations due to lower fruit yields and the impact of flooding from Greece. Overall, the 2023 crop will be below our expectations as only a small amount of volume will be packed in the fourth quarter despite the late start. Despite these headwinds, our team offset volume shortfall from a profit perspective with effective cost management and drove results that were consistent with our expectations. In Custom Containers, results were below prior year, but consistent with our expectations due to the impact of customer destocking, including the delay in commercialization of new business wins. Turning now to our expectations for the fourth quarter and the full year. We have revised our estimate for full year earnings to reflect deeper and more pervasive customer destocking priorities in the fourth quarter, which has resulted in a lower volume outlook in our Metal Containers in Dispensing & Specialty Closures segments. We believe the continued progress we have made with regard to our strategic priorities in the actions we've taken to effectively manage the factors that are within our control, position the company to return to earnings growth in 2024. We see positive signs in our customers' promotional activity, inventory unit levels trending below historic norms. And while we expect market volumes to improve in 2024, we are not dependent upon it to deliver earnings growth. We'll continue to manage the business in a disciplined manner, focusing on meeting the unique needs of our customers, while delivering a compelling value proposition for our shareholders. With that, Kim will take you through the financials for the quarter and our estimates for the fourth quarter and full year.
Kim Ulmer: Thank you, Adam. Net sales for the third quarter of 2023 were approximately $1.8 billion. Excluding non-recurring sales associated with Russia in the third quarter of 2022, third quarter 2023 sales declined 7% from the record prior year period driven primarily by lower volumes in each of our segments, partially offset by the pass-through of cost inflation. Total adjusted EBIT for the quarter of $214.4 million decreased by 4% on a year-over-year basis, with record adjusted EBIT in the Dispensing and Specialty Closures segment offset by lower adjusted EBIT in the Custom Containers and Metal Container segment. Adjusted net income per diluted share declined $0.12 from the record achieved in the third quarter of 2022 with higher interest expense of $0.09, non-recurring sales associated with Russia of $0.03, and lower volumes driving the year-over-year decline. Turning to our segments. Dispensing and Specialty Closures segment sales declined 2% versus the prior year, excluding a 1% impact from Russia sales, primarily as a result of lower volume mix of 3%. The decline in volume was driven by double-digit declines for higher volume closures for international food and beverage markets, which more than offset record volume and higher value dispensing products, which grew by a mid-single-digit percentage compared to the prior year. Record third quarter 2023 Dispensing and Specialty Closures adjusted EBIT increased $5.4 million versus the record achieved in the prior year period as a result of improvements in mix in the segment due to a higher volume and high-value dispensing products and lower sales in high-volume closures for food and beverage markets as well as effective cost management, including SG&A. In our Metal Container segment, sales declined 8% versus the prior year, excluding a 2% impact from Russia sales due to lower volumes across all product categories as customer destocking priorities were more pervasive and impacted adjacent categories with the largest year-over-year decline in the soup category. Fruit and vegetable volumes were below our expectations. Metal Containers adjusted EBIT was slightly below the record level in the prior year quarter despite the shortfall in volumes as the business continued to successfully pass through labor and other manufacturing costs, while actively managing our cost structure. In Custom Containers, lower volume in most categories drove volumes 10% below the third quarter of 2022, which, coupled with lower resin costs on a year-over-year basis resulted in sales 18% below the prior year period. As expected, Custom Containers adjusted EBIT declined $11 million as compared to the third quarter of 2022, primarily as a result of lower volumes due to customer destocking and a less favorable mix of products sold. Looking ahead to the fourth quarter, we are estimating adjusted net income per diluted share in the range of $0.55 to $0.65, which includes higher interest expense of $0.06 per share and a fourth quarter weighted average share count of approximately $107 million. On a segment level, fourth quarter adjusted EBIT is expected to be higher than the prior year period in Dispensing and Specialty Closures, comparable to the prior year period in Custom Containers and lower than the prior year period in Metal Containers, primarily due to the timing of previously discussed benefits from inventory management in the prior year. As a result, we are revising our outlook of adjusted net income per diluted share from a range of $3.40 to $3.60 to a range of $3.30 to $3.40 primarily due to a more pervasive customer destocking in food and beverage and adjacent markets. This revised estimate includes a year-over-year headwind of $0.33 per share for interest expense, which we now expect to be approximately $175 million, a tax rate of approximately 24%, and weighted average shares outstanding of approximately $109 million. These estimates exclude the impact from certain adjustments outlined in Table C of our press release. Based on our current earnings outlook, we are also revising our estimate of free cash flow in 2023 from $375 million to $340 million, which incorporates CapEx of $230 million. Revised outlook for free cash flow reflects the revision in estimated earnings for the year as well as estimated cash costs in 2023 associated with the announced cost reduction program, including additional working capital to facilitate the program. That concludes our prepared remarks, and we'll open the call for questions. Anna, would you kindly provide the directions for the question-and-answer session?
Operator: Yes, thank you. [Operator Instructions] And we'll take our first question from Ghansham Panjabi with Baird.
Ghansham Panjabi: Hey, guys. Good morning. Adam, I guess, first half, maybe you can just give us more color on the cadence of destocking and how that unfolded during the third quarter. You mentioned adjacent categories, and I think you called out Pet food as well. But just based on what you're seeing at this point, I guess, related to that, do you think this ends in the fourth quarter, or will there be a residual tail into the first quarter of next year as well?
Adam Greenlee: Yes, sure. Good questions, Ghansham. And look, I think we are as frustrated with destocking as anybody else's at this point. And for us, we anticipated it in the third quarter based upon all the conversations we were having with our customers and their new priorities at the end of the second quarter. So in fairness, we had the year-end details. What actually happened during Q3 is that those programs accelerated and the inventory destocking that our customers were working on actually happened earlier in Q3 than we anticipated, and that's what's reflected in our numbers. So that's one part of the destocking. The second piece of it is late in the quarter our -- several of our Pet food customers indicated that they would also endeavor on a destocking program by the end of the year. So, a little bit of impact late in the quarter, but more of an impact in Q4 as we include Pet food now and the destocking conversation. And so, I think from a broad standpoint, the destocking that happened post pandemic, we feel pretty confident that we have the timing of that correct. And those products have worked their way through the system. The inventory cleanse it sells through the system. We're seeing the recovery of those markets for the most part. These new items that we're talking about in Food and Beverage and now in Pet food, we're anticipating they're going to be done by year-end, Ghansham, but at this point, I'd just say we need to continue to work with our customers and understand what their programs are. The last piece of it is, we know for a fact that unit level inventory across our Food and Beverage and certainly our Pet food markets is lower than historic norms. And a lot of the dialogue with our customers right now is about the absolute dollar value of that inventory, not the unit volume level. So, at some point, it does have to stop in order to service the market and consumers. And at this point, we're anticipating that, that is at year-end.
Ghansham Panjabi: Got it. And then just my second question, as it relates to the 2024 outlook and your confidence on earnings being up year-over-year. Obviously, volumes are a moving target, but you have cost savings. It's a two-year program, it sounds like. Just curious as to help us with the variances as it relates to how much you think in terms of cost savings will flow through in 2024. Any other variances we should keep in mind, apart from a lower share count?
Adam Greenlee: Sure. And I think, first off, a lot of the dialogue we just had on destocking will influence the actual guidance that we'll get for 2024 on our next call. As we sit here today, what we have done is as we decided to proactively and aggressively manage the things within our control, and that is part of the $50 million cost reduction program. And really from a P&L savings standpoint, you should think about call it, 40% of that to be impacting in 2024. So, we'll just round about $20 million of the $50 million cost savings program. So that is in large part what is going to drive our earnings growth next year irrespective of what happens with market recovery and volume. So that's one input Ghansham. The other big input is what's not being talked about a lot right now is our Dispensing and Specialty Closures segment, the mix benefit we're getting from our high-value dispensing products and frankly, the growth that that's generated and has been generating all year long. Those trends will continue next year in 2024, and we anticipate continued growth and mix benefit from the high-value dispensing products, again, irrespective of recovery in food and beverage markets and our other aspects of the business. So really, we believe we can control what's immediately in front of us, but cost savings program will drive earnings growth for next year irrespective of market recovery.
Ghansham Panjabi: Okay. Thanks so much.
Operator: We'll now take our next question from George Staphos with Bank of America.
George Staphos: Hi, everyone. Good morning. Thanks for the time, the details. Adam, I assume the pets aren't on GLP-1 yet, so that's probably not a reason why you're seeing destocking there. But in terms of the adjacencies that you're seeing destocking in food and beverage, is it -- was it soup? What else is going on? And what are your customers saying in terms of why they're doing this. Relatedly, you said they're accelerating their destocking, and that's great. But wouldn't that then mean a pickup in volume in the fourth quarter or soon thereafter, you're just pulling forward the destocking that would have occurred. And related to that, what was the volume in metal for the quarter? And then I had a couple of follow-ons.
Adam Greenlee: Sure. Thanks, George. And again, half of our volume in the metal container segment roughly is in pet food. So you're right, that is not part of the GLP-1 conversation at this point, which is more than meaningful part of our business. So fundamentally, George, you're right with your destocking thought and question. So it's great that it's accelerated. At some point, that will mean that there is volume recovery to replenish inventory levels. And again, it's not about the unit volume of inventory for our customers at this point. It is about the year-end absolute dollars of inventory that they hold on their balance sheet. So even though it's accelerated, I don't think it's going to be a favorable upside for Q4 because they are targeting the year-end value. It should be for 2024, but that's not what we're factoring into our ability to drive earnings growth for next year. So I think that's an important component to what we're thinking about for the fourth quarter and for next year. And then…
George Staphos: Adam, you keep saying Food & Beverage, so where in Food & Beverage was it, where you had this additional destocking?
Adam Greenlee: Sure. So think about our in the metal container segment, we'll start there. So additional destocking really in our pack volume, a little bit of destocking in soup, but really, it's the adjacency that got included now for the pet food market. So that's the biggest change were last time we talked. Food & Beverage also applies to Dispensing and Specialty Closures as well, particularly in the US market. So it is impacting our traditional hot fill and cold fill closure market in the US business.
George Staphos: Okay. And the volume in metal overall for the quarter, what was it?
Adam Greenlee: Down about 10%.
George Staphos: Okay. Understood. Thanks for going through all of that. I want to go to the cost reduction program. You mentioned its footprint, we can summarize what that means and other cost reduction activities. But can you -- and you gave us some delineation in terms of the cadence to Ghanshams question. But what's going to change at Silgan as a result of this? So give us a bit more tiles in the Mosaic here in terms of what capability you get, why it doesn't disrupt your service, why it actually makes you more competitive company going forward. Aside from the fact, yes, we'll try to build in $50 million of cost reduction into our models over time. What is Silgan get out of it? What do your shareholders get out of it?
Adam Greenlee: Sure. It's a great question, George. And I think for starters, what I would say is, this is a program at Silgan in cost reduction and rightsizing our capacity that we've executed many, many times over the years at Silgan. So, there should be confidence that we can indeed execute what we're putting in front of you, and we have tremendous confidence that we'll be able to execute it. And then what is -- the benefit that we get, there's a couple of things. One, you think about Dispensing and Specialty Closures, clearly, we've got growing products, growing markets that we're supporting there. It's really not about taking any capacity out of that market. It is about optimizing the footprint, taking growing volume and putting it in more efficient facilities and driving improvement in that manner. When you move to Metal Containers and Custom Containers, there's a little bit of both of that. There is some capacity that's going to be coming out of those two markets as we rightsize our capacity and this is an important statement, George, to the volumes that we see right now. So again, we're not necessarily planning on volume growth next year because of markets recovering. We'll have specific products that grow. But this is not predicated on volume recovery from the market. Importantly, what we learned during the pandemic is that we did have this tremendous ability to surge and flex our cost structure to meet incremental demand. So, we have tremendous confidence that by rightsizing to the existing capacity required and demand levels of our customers, as markets recover, as volume grows in Metal Containers and then Custom Containers, will have the ability to meet that demand head on with the adjusted footprint and capacity that we have. One last important note to make is, we do view pet food separately in Metal Containers, because it has been growing for decades in our portfolio. We've invested for growth. Our customers have invested for growth and the good news there is there's really no incremental capacity that we need to add to get this next level or incremental growth in pet food. But we will not be rationalizing any of the pet food assets or capacity as we sit here today and as we go forward, because as you, I believe, heard in the remarks a minute ago, our customers are planning for growth in pet food next year, and they've been very public about making those statements.
George Staphos: Okay. I have other questions, but I will turn it over to everybody else to be fair, and I'll come back if there's time. Thanks, guys.
Adam Greenlee: Thank you.
Operator: We'll now take our next question from Anthony Pettinari with Citi.
Anthony Pettinari: Good morning. I'm wondering if you can talk a little bit more about Custom Container and any progress on customer wins. Is there anything kind of on tap for '24 that you can share I don't know if you're maybe gaining some business back, but maybe destocking sort of offsetting that, or if you can just talk about how that's progressing versus expectations.
Adam Greenlee: Yes, Anthony, I think you've got it right. I think we are having success in the market. We are winning in the market as well. And really, it's largely just offset by the destocking activities that are very broad-based in the Custom Container segment. So we do have a couple of large new wins that we'll be commercializing next year now. The first one, which is from a volume perspective, a significant win for us will be commercialized, call it, mid to late first quarter. And we feel pretty good about the timing of that one. The second new win has had a couple of delays on it, and we are now looking at a midyear commercialization of the second item. What's interesting is, again, both are contractual. So the good news for us is our contracts start when the product is commercialized. So we get the same three or five-year runway on the volume that we've contracted with our customers. So unfortunately, we're ready to commercialize these products. And unfortunately, our customers have not been ready to do so just yet. And again, part of that does fall into destocking, spending the capital to commercialize those products and launch those new products at the end of the year is just not happening now as we had originally thought. So unfortunately, it's two large wins in the next year, really good line of sight on the first one. The second one is slated for midyear, and it will be dependent upon our customers' ability to execute that.
Anthony Pettinari : Okay. That's very helpful. And then in terms of the expectation for earnings growth in 2024 is absent on whether a market recovery kind of materializes or not. Do you think you can get back to 2022 kind of EBITDA levels or potentially exceed that? I think that's what consensus is maybe assuming, or I don't know if there's any kind of finer point you can put on maybe what you view as sort of normalized earnings in maybe a difficult environment.
Adam Greenlee: Yes. I think -- honestly, Anthony, we're just a little too early to really provide any additional color there because that's -- I think that's a pretty specific question that's going to require more maturity to our 2024 budgetary process. And we're not at the beginning. We're sort of in the middle of it right now, but just not able to provide a whole lot more color than what we already have.
Anthony Pettinari : Okay. I’ll turn it over. Thank you.
Operator: We'll now take our next question from Gabe Hajde with Wells Fargo Securities.
Gabe Hajde: Good morning, guys. So appreciating maybe just what we're coming on the tail here of a couple of guidance cuts and a little bit of disappointing news. Your customers obviously are carrying less inventory for a variety of reasons, one of which is higher carry costs. But I also think for covering synergy for a bit, sometimes customers might deplete inventories in anticipation of lower pricing in the following year for, again, a variety of reasons. So I'm curious, number one, is there anything that you can do kind of preemptively to avoid such discussions? And are there any larger contracts that kind of come up for maturity next year across your three different businesses that we should be mindful of been thinking of for the year? Thank you.
Adam Greenlee : Maybe I'll take the tail into that question first. As far as large contracts coming up in 2024, no, we don't have anything and either at the beginning, really were at the end of 2024, just kind of normal course contracts as we always do, but nothing significant. You raised a good question, Gabe, about moving procurement activities for customers between years given price changes. As you very well know, a lot of our business is long term -- it's covered under long-term contracts with very clear pass-through mechanisms associated with them that may on the French drive some of that activity. But usually, that occurs when there are significant changes in the raw material component of those pass-throughs. And then we just don't see the significant change in raw materials year-over-year at this point, as we're heading into 2024, there is likely some deflation, and that will be a good answer for our customers and for consumers. But I don't know that it's going to be something that would drive the activity. But in fairness, that the destocking activity has been a challenge to work with our customers as we head towards year-end. And it might just be a benefit that there is a small deflationary item coming their way in the early part of next year.
Gabe Hajde: Okay. Maybe just a quick follow on that. Sometimes you give us a sense for maybe where tinplate might be shaking out for the following year. I know there are some, I think, settlements on countervailing duties and antidumping duties. So just maybe a sense of direction there. And then I'll just ask to get it over with DSC, the high-value solutions that you guys provide has been a bright spot and you talked about mid-single-digit growth. You talked about kind of some of that carrying over into next year. How contingent on a good holiday season is that, meaning things are good now for pipeline fill, it gets on the shelf and maybe people pull back a little bit around the holiday. Is there a potential for them destock activity in those high-value solutions in the first half of 2024?
Adam Greenlee: Okay. Great question. So I'm going to start with the tinplate to begin with. And so it's still in process right now. We're deep in negotiations. And as usual, Gabe, we are fighting like crazy for our customers and for consumers. And I think the guidance we give now is there will be kind of a maybe a mid-single-digit kind of deflation that we're anticipating for tinplate in 2024. And really, that's going to probably be a little bit greater in Europe than it's going to be in the US market. But obviously, most of our -- the significant portion of our buy is kind of be US-based in the Metal Container segment. And then I think you raised a really good question on Dispensing and Specialty and the higher value items. So as we sit here today, we're seeing a slight shift of customer mix, and we're going to be able to deliver kind of that same mid- to high single-digit growth rate in 2024 with irrespective of the holiday season. We've already seen a little bit of a shift. We've seen some customers that are working on destocking activities already, and we've been able to offset that volume with market opportunities with other customers in other areas of the market. So it's a very balanced portfolio that we have that's consistently been providing kind of mid- to high single-digit growth rates for some period of time now.
Gabe Hajde: Great. Thank you for the color there.
Operator: We'll take our next question from Matt Roberts with Raymond James.
Matt Roberts: Hi, good morning, everybody and thanks for getting me in here. Maybe I'll just ask, last quarter, when you discussed some of those labor issues, I mean are there any changes there? Have those been resolved, or as you look forward, are there any potential contracts coming up for renewal that maybe hasn't been reset for a couple of years? Anything we need to be mindful of there in terms of how that bargaining works?
Adam Greenlee: Hi, Matt, welcome to the coverage universe for Silgan. So, good to have you. As far as the labor issues that we talked about at the -- the one food and beverage plants in the US business, on the last call. What we -- the guidance we've given that the cost improvement that we would see, we estimate it to be about $4 million. So the $10 million cost impact that we had in Q2 would be reduced to $6 million in Q3, and we basically delivered right on that number. We've also gave guidance on the last call that, that was reduced to $3 million in Q4. And that's absolutely what we've got embedded to our forecast. It's absolutely what we are executing upon. So good news, we've done exactly what we were going to do and said we were going to do related to that specific labor issue. And I I'll answer your question two ways on the major contracts. So again, we always have a normal set of customer contracts that come up, nothing significant as I mentioned earlier. And then from a labor standpoint, our union facilities, nothing significant, I mean, we have our normal course churn that we work through every year or so on the labor agreements that we've ratified several this year. We'll have a couple of them negotiate next year. But that's all very much normal course for us.
Matt Roberts: Okay. Perfect. Thanks, Adam. And then maybe lastly, in terms of your cash and debt, the buybacks in the quarter were certainly encouraging. Is there any update to where you expect leverage to shake out at year-end or any considerations in 2024 in terms of either paying down debt or more of those shareholder returns? Anything to consider there would be helpful. Thank you for taking the questions.
Kim Ulmer: Okay. I'll answer the leverage ratio and then pass it on to Bob. From a leverage ratio perspective, for the end of the year, we'll probably be a little bit over three times. As you know, our stated range is between 2.5 times and 3.5 times. So we're right in the middle of that and feel like it is not restricting us from any opportunities that we may see.
Bob Lewis: Yes. And on the share repurchases, as you saw, we did buy back upsized amounts relative to maybe what we've done historically in open market transactions. But I don't think, it's any secret that that we have maintained and continue to maintain a fairly sizable authorization. Historically, it's been about $300 million over three years. Where we stand today, after buying back roughly $175 million on a year-to-date basis, we've got about $100 million left. So where we've typically been most in the share repurchase arena is as we start to trend to the lower end of our guidance from a leverage standpoint, 3.1 times we're kind of right in the middle. That combined with the fact that we saw some market dislocation in the stock performance, it seemed like a good time to be active in the market. particularly relative to the backdrop around the M&A environment, where I think there's just some clunkiness in that market right now, given everything that's going on in the economy and interest rates that the activity has slowed to maybe a few specific ideas that are being floated, but I think generally, the M&A activity is kind of on a on a pause, if you will, likely waiting for the calendar to flip.
Adam Greenlee: And then I think it's just another example of our kind of disciplined capital allocation program that is intended to create value for our shareholders. And I think, clearly, that did.
Matt Roberts: Okay. Thank you all, again.
Operator: Our next question will come from Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Great. Thanks for taking my questions. So I guess I had a broader question. Obviously, the destocking has been a little bit deeper than maybe some of us expected. Now it's obviously moved over into the Pet food category as well. I guess, what are you hearing from maybe brand owners or retailers as far as some of these issues? Would you say that any of those companies are making structural changes to deal with maybe lower inventories on the retail side and then maybe lower consumption rates on the brand owners side? I mean, is that anything you're hearing from any of these companies?
Adam Greenlee: No, it's not. And in fairness to the second point, what we've seen is for our product in particular, that the consumer purchases have been pretty resilient. So their consumption still remains fairly robust for our products. And we don't see, at this point, any structural change to either retail or our customers' branded products, inventory programs or go-to-market programs that are really any different. What we have seen, which is a positive, is more promotional activity. And we anticipate that to provide a benefit to volume when it's fully integrated into the sales cycle for our customers. Again, I'm just going to repeat, Arun that really, our customers have been talking about the dollar value of inventory in their system at year-end. And that's what's driving the destocking activity for the most part across our food and beverage and now our Pet Food segment. I'll talk about two of our largest customers have now publicly stated that they believe 2024 is going to be a year of volume growth, specifically for our products that we provide to them. So, we're anxious to move on to 2024 and get back to a more normalized volume level. But as we said earlier, we're not waiting for that. We are going to control our own destiny and take good aggressive action to drive earnings growth for 2024.
Arun Viswanathan: Okay. Thanks for that. And if you were to think again on this volume kind of progression that you saw in 2023, would you be able to parse it out into maybe what is related to destocking and maybe what's related to primary demand. Just kind of curious how we've obviously had gyrations through COVID and supply chain issues, but it does appear that there has been some structural weakness on primary demand related to, and just wondering if that's what it's really going to take to see some improvement on that side.
Adam Greenlee: Well, I think in fairness, we need to get through the fourth quarter to really understand the full impact of destocking in the year. But I'll go back to a little bit of what we said earlier that for our high-value Dispensing and Specialty Closures items, we are seeing significant growth in the products that we define as growth products, and that is driving benefit for the company from a mix standpoint. So really, I think it is back to food and beverage. I think we all probably can go right now based upon the expectations for the fourth quarter and do some math and get work to figure out what the destocking value was for 2023. But I think we'd rather sit here three months from now in January on our earnings call, we'll actually talk about what we did experience from a destocking standpoint in 2023.
Arun Viswanathan: Okay. That's helpful. If I can just ask one more on promotional activity. You noted that there has been an increase there. Could you just elaborate on that? Is it kind of broad-based? And we've also been hearing that the depth of promotional activity is not necessarily that strong, meaning that maybe the discounts aren't as deep. What are you seeing on the promotional activity kind of incrementally that gives you a little bit more confidence?
Adam Greenlee: Yes. I think there's a couple of things. One, we know the activities increased from where it was. So let's start with that. And then we also know that the activity level is not what it was pre-pandemic. So I think there was a report out earlier in the week. It was pretty clear that one of the largest food manufacturers, CPG wise was – had their sales, 21% of their sales were on promotion versus pre-pandemic at 24%. So below pre-pandemic levels, however, up from prior quarters that had a lower than 21% promotion rate. So again, I'm viewing that as progress. And we think that largely, the market is following that kind of progression. I think the other item that you raised is the absolute price or cost of the product on the store shelves. There's been a lot of inflation that's been passed through to customers. And what we're seeing is, yes, there is increased promotional activity. The promotional value is not the same proposition that was provided to consumers pre-pandemic. And what we're waiting to see now is how effective those promotions are. And that's all happening real time right now in Q4. And I think as we enter 2024. We're encouraged that the percent of product being sold on promotion is going up and approaching at pre-pandemic levels, and we think that will be a benefit for consumers and should, as it always has in the past, drive some volume activity across the segment.
Bob Lewis: Yes. Arun, I think I would take you back to the discussion that we had in the last quarter, and that was that we were getting the sense from our customers that this destocking was all about setting the stage for promotional activity. And we didn't, at that point, didn't exactly know when that was going to start. So if there's a bright spot in this, I think it's the fact that we are seeing the destocking begin and whether that's just testing the waters in terms of what the ultimate program is going to look like. We don't yet know, but the fact that the activity is there is kind of proof of concept, if you will, relative to the destocking activity.
Arun Viswanathan: Got it. Thanks a lot.
Operator: We'll take our next question from Mike Roxland with Truist Securities.
Mike Roxland: Thank you, Adam, Bob, Kim and Alex for taking my questions. Adam, I just wanted to follow up quickly on a comment you made earlier about how your customers told you about how destocking going to occur later in 3Q. And ultimately, they pulled that forward, which you are not anticipating. Can you speak to how you get your customers' forecast and the comments that they make to you or whether there's been any change in your approach to that betting, given the disconnect between what’s actually -- between what they're telling you and what they're actually doing.
Adam Greenlee: Yes, sure. And maybe just for clarity, Mike, I think as we were talking about the destocking activity on our last earnings call. The information was fresh hot off the presses. So there's a couple things to think about and just to take that into context. Number one, I think remember many of our facilities were either co-located or near-located to our customers. We're in their production planning meetings for the most part. So, we understand exactly what they're planning to manufacture and they understand exactly what we're planning to manufacture. So that level of the relationship has remained very strong, very transparent. We've got a really good understanding of what our customers are doing. I think the issue that we had is there were initiatives and objectives that were coming from outside of the location. So think of more from a corporate activity with a year-end free cash flow number at our customers that they were targeting. So I think the disconnect was simply a timing issue that the corporate information from our customers was working its way down to the production planners. And at the same time, it was very much focused on the year-end metric of free cash flow and what their objectives were. And then the simple reality was, as those plans got embedded into the production schedules of our customers, they were accelerated. So versus what we were originally thinking, because the disconnect for us is we thought it was a year-end target, whereas they accelerated the timing and moved it earlier into Q3. So that's just the reality of what happened. I think we've got a good handle on it now and I think those programs are vetted through our customers. And the new item here is pet food and we're continuing to work through that as we talked earlier.
Mike Roxland: Got it. Okay. Yeah. My second question I realized that it might still be a little early and I know you said you're still working through all the budget details, but can you help us just initially frame the EBITDA trajectory for 2024? You mentioned the $20 million of cost savings you expect next year. You have the $10 million of closure plan headwinds that they'll repeat. You also have the two new custom containers, customers you mentioned, which were all positives. But on the opposite end, you still have continued de-stocking, you have elevated inflation, especially in Europe, and you have higher resin costs. Can you help us with any other factors to be mindful of when thinking about the EBITDA trajectory in 2024? Thank you.
Adam Greenlee: I think you've got pretty much what we've talked about and what we're thinking about at a high level at this point. So I think maybe the overarching statement I would make to that Mike is nothing has changed as far as our thesis on each of the operating segments as to where we think the kind of near-term and longer-term growth rates are for each of the segments. And we feel pretty good about that. We've got to get through this de-stocking. Whether it trails into next year in the first quarter, we don't believe so, but we need to get through it and make sure we understand exactly what it is. But you've got the big moving parts to what we're thinking about 2024. We then need to add how we're viewing volumes as it relates to our customer programs for next year, that we're still working through those details and will be frankly for the balance of the quarter.
Mike Roxland: Understood. Good luck in 4Q.
Adam Greenlee: Thank you.
Operator: We'll now take our next question from Daniel Rizzo with Jefferies.
Daniel Rizzo: Good morning. Thank you for taking my question. I was just wondering If you could provide a little more color on why there wouldn't be any de-stocking at all with the high value customers and with the high value products that are now kind of growing, it just seems that just what I've heard from other companies, this is fairly broad based across kind of the whole spectrum.
Adam Greenlee: Hey Dan, and we think it's pretty broad-based across all of our segments as well. I think the items that we're talking about and our high-value Dispensing items, you've got to think about kind of what percentage of the overall package costs are that we represent to our customers. And really, the consumer that's buying those items really is not subject to a lot of the challenges that we're talking about in other areas of our business. So, we do think it's been very resilient. It's grown mid to high single-digit every quarter this year, and frankly, it was last year as well. And so we've got good confidence and good line of sight that we do continue to have that growth driver for our dispensing and Specialty Closures segment in 2024.
Daniel Rizzo: So, we're talking about, I guess, beauty and fragrance is kind of the main thrust there is what we're referring to? And if I missed it, I apologize.
Adam Greenlee: Yes. And really, it's elements of beauty and fragrance. We are in the prestige/luxury end of those markets. Again, that I think are subject to some different economic drivers, if you will.
Daniel Rizzo: Okay. And I don't know if I missed this either, but what's the cash cost of the cost savings plan? Is it kind of a one-for-one basis, or how should we think about that?
Adam Greenlee: I think one-for-one is the right way to think about it. And where we said the savings would be more over the two-year period, kind of 40% year one, 60% year two, that's going to be flipped for the cash cost associated. So, we'll have a little bit more cash out the door upfront, preparing to drive the cost out of the business. So, call it 60-40 on the cash cost.
Daniel Rizzo: Thank you very much.
Operator: We'll now take our next question from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Thanks very much. Your SG&A costs were $84 million in the quarter. And in the previous quarter, they were $102 million and the year ago, they were $97 million. How did you get your SG&A down so much and so quickly? Is that management bonuses or you're already capturing some of your cost savings? Does this number contain any of the $50 million in cost savings? Can you explain it?
Adam Greenlee: Sure. Thanks Jeff. So, it's a couple of components. One, there is some headcount change there. So, we are driving cost out of the business. The $50 million will be incremental to what we've executed on in Q3 and what we will continue to execute upon in Q4. So, you've got head count, you've got the employee-related costs associated with lower headcount as well. And then we've got some other administrative costs that we were able to take action on. So, that includes everything like management bonus and all the other items associated with kind of accruals for the course of the year. And as you drew some of those up, you get a larger impact in Q3 because you're truing up nine months of costs. So, that was part of why maybe it does look like a little bit outsized reduction versus either prior year or prior quarters.
Jeff Zekauskas: And then I have a question about your $340 million in free cash flow. I was wondering if you could check my math in that through the first nine months, including changes in outstanding checks, your cash flow is negative $660 million. And you've got call it 230 in CapEx for the year that's 890. And so in order to generate 340 in free cash flow, you've got to generate a little bit more than $1.2 billion in the fourth quarter. And last year, I think you generated around 900. And this quarter, the fourth quarter, you think is going to be a little bit weak. You've got some other things. So is that right? Do you have to do $1.2 billion to get to that 340 in free cash flow?
Kim Ulmer: Yes. So what we're looking at is we have higher receivables coming into this quarter, which we are expecting to collect through the end of the year. And some of that will be offset by slightly higher inventory levels due to the rationalization programs that we have.
Jeff Zekauskas: What was your accounts payable in the quarter?
Kim Ulmer: It's included with other outstanding checks on the balance sheet, let's say, $652 million.
Jeff Zekauskas: Okay. Thank you.
Adam Greenlee: Thanks.
Operator: We will now take a follow-up from George Staphos with Bank of America.
George Staphos: Hi. Thanks for taking the follow-ons. So I just want to come back. So what revenue effect and if you had an EBITDA effect, should we bank on -- banks, not the right term? Are you considering for the new customers that come in next year? And then I have a couple of follow-ons.
Adam Greenlee: And George, are you in the Custom Container segment?
George Staphos: Yes, correct. That's where you said you're commercializing new customers.
Adam Greenlee: Correct. So look, we were looking to replace the non-renewal of the contract from 2022. And we believe we'll replace the income associated with that on a full year run rate basis. Obviously, we're commercializing one in the first quarter, one midyear. So the run rate by the end of the year will fully replace that. So call it something around about $10 million of run rate profit by year end. The revenue will not be a one-for-one replacement just simply because these are going to be smaller bottles that were manufacturing, but really, it's more of the mix benefit we're getting. And as the profit will be replacing what we decided not to renew.
George Staphos: Okay. Thanks, Adam. And my last two ones, A lot of your customers in food are not on year end or calendar year ends for their fiscals but mid-years. So back to the destocking question one more time, why wouldn't we see them do the same destocking, reduce working capital to drive cash flow higher relative to their end of fiscal year, which means you're still dealing with this through the first half of your calendar and fiscal year for 2024? And then a question we kind of touched on earlier, I'm guessing there's probably not a heck of a lot to talk about, but for your human food and beverage customers, what do they think on GLP-1. Thanks, guys and good luck in the quarter.
Adam Greenlee: Great. So I think, George, on the year end items, so there's a couple of things to take into account. You're right. Several customers are not on a calendar basis or on a fiscal year end. Many customers are on a calendar basis. So clearly, there is a component of that. Really the other piece of this is retail discussions. And as our customers renew their retail conversations about cost and price change for 2024, there is a January element to that discussion that the retail discussions are based on a year-end kind of calendar year. So again, we're working through that very closely with them, and we do think that is an impact to the destocking activity.
George Staphos: I'm sorry, Adam, do you think it's really a calendar year-end, that has the impact, not the fiscal which we're just talking about, which could have some effect through middle of the year?
Adam Greenlee: Yes. I think it is calendar year-end. Again, …
George Staphos: Got it.
Adam Greenlee: …some aren't on a calendar year and some are in these retail discussions are on a year-end basis. And your other part of the question, George, I apologize.
George Staphos: Yeah. No worries. Just to the extent that you have any commentary from your customers on anti-obesity drugs and the effect it's having on human food and beverage. What are you hearing? What should we consider what you would not worry about? Any thoughts there would be great. Thanks and good luck in a quarter.
Adam Greenlee: Sure. Thank you. We've had several discussions with our customers. And I think for the most part, the non-pet food segment of our business for the earlier conversation. I think the discussion has largely been around what we do as our products provide nutrition to consumers and a tremendous value. And it's a safe means of getting low-cost, high-value nutrition products to consumers. And so we do think that the consumers of our products likely won't be candidates for this kind of weight loss application. And we also think that even though some may be that this is high nutrition product that we support. So snacks were not -- are not a big part of what we do. We've got some of our beverage products that probably are closer, but we just don't think according to our customers, if there's any material impact for the foreseeable future from the advent of the GLP type applications.
George Staphos: Thank you, Adam.
Adam Greenlee: Sure.
Operator: And it appears there are no further telephone questions. I'd like to turn the conference back over to our presenters, for any additional or closing comments.
Adam Greenlee: Great. Thank you, Anna, and I appreciate everyone's time today and interest in the company. Look forward to reviewing our year-end and our 2024 outlook in January.
Operator: And once again, that does conclude today's conference. We thank you all for your participation. You may now disconnect.